Operator: Hello and welcome to the GMS Inc. First Quarter 2024 Earnings Conference Call. [Operator Instructions] A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to your host, Carey Phelps, Vice President, Investor Relations. Please go ahead, Carey.
Carey Phelps: Thanks, Kevin. Good morning and thank you for joining us for the GMS earnings conference call for the first quarter of fiscal 2024. I am joined today by John Turner, President and Chief Executive Officer; and Scott Deakin, Senior Vice President and Chief Financial Officer. In addition to the press release issued this morning, we have posted PowerPoint slides to accompany this call in the Investors section of our website at www.gms.com. Starting with slide two. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties, many of which are beyond our control and may cause actual results to differ from those discussed today. As a reminder, forward-looking statements represent management's current estimates and expectations. The company assumes no obligation to update any forward-looking statements in the future. Listeners are encouraged to review the more detailed discussions related to these forward-looking statements contained in the company's filings with the SEC, including the Risk Factors section in the company's 10-K and other periodic reports. Today's presentation also includes a discussion of certain non-GAAP measures. The definitions and reconciliations of these non-GAAP measures are provided in the press release and presentation slides. Please note that references on this call to the first quarter of fiscal 2024 relate to the quarter ended July 31st, 2023. Finally, once we begin the question-and-answer session of the call, in the interest of time, we kindly request that you limit yourself to one question and one follow-up. With that, I'll turn the call over to John Turner, whose discussion will begin on slide three. J.T.?
John Turner: Thank you, Carey, and thank you all for joining us today. We are pleased to report another quarter of solid performance for GMS with $1.4 billion in net sales, up 3.7% compared to a year ago. Net income was $86.8 million and adjusted EBITDA was $173.3 million. Net income margin was 6.2% and adjusted EBITDA margin remained strong at 12.3% for the quarter. Cash flow was improved year-over-year and we improved our net debt leverage to 1.5 times from 1.8 times in the first quarter of last year. Continued strength in multifamily construction and resilient growth in commercial activity combined with moderate inflationary pricing in most product categories offset softness in the new single-family market as well as deflationary pricing in Steel Framing. Continued growth in our complementary business lines as well as expansion and maturation of our greenfields and recent acquisitions were also positive contributors. Our scale and mix of customers now roughly equally weighted between commercial and residential, along with the expertise and dedication of our team, have allowed us to pivot as needed to best serve each of our end markets. Despite mortgage rates being at 20-plus year highs, we are encouraged by sequentially improving single-family starts and permits and the associated positive builder sentiment, indicating that the worst of the pullback in single-family construction activity appears to be behind us. While year-over-year volume declines in this business are expected through the end of the calendar year as compared to the relative strength of the prior year period, we expect that the magnitude of these declines will lessen as we progress through the coming months. Looking forward, the medium-to-long-term outlook for new single-family housing remains very compelling with the current fundamental shortage of housing availability and interest rate-driven constraints on existing home inventory available for sale. Meanwhile, with numerous apartment, condo, mixed-use and dormitory projects underway or breaking ground this fall, we expect multifamily to remain a solid contributor to our results for at least the next several quarters with some progressive tempering sequentially as the market works to complete the current backlog. And while tenant improvement work in the office space is still slow, particularly in large urban centers, we are very pleased with the activity we have continued to see in other sectors of the commercial construction market. Notably, we've seen particular strength in the medical sector and recently secured work on at least 10 hospital expansions or new builds. We also have commitments to deliver product for hospitality projects such as the new Gaylord Resort in San Diego and a convention center and hotel in Fort Lauderdale. We've secured numerous manufacturing and data center developments and various education projects. We are even engaged on some office activity, including a commitment to supply the pier in Boston, ongoing deliveries for a large-scale project to renovate government office towers in Quebec and a new office tower in Bellevue, Washington. This is just a sampling of the types of projects we are either actively delivering or expect to start fulfilling in the next several months as our teams work hard to grow our business and execute against our strategic priorities, which I will go through now beginning on slide four. First, our team's relentless commitment to provide outstanding service regardless of the end market has helped us expand our share in each of our core product categories. Unlike some distributors as a part of our value-added fulfillment model, we don't merely drop our products off at the curve, instead, we deliver to the point of use whether that's in a single-family home or high-volume off-hours deliveries to the 20th floor of an office building or a multifamily complex. This capability is increasingly in demand as the availability of skilled tradespeople is constrained. Our customers know that they can count on GMS to provide best-in-class service and they depend on us to secure the products they need when and where they need them. Moving to our second pillar, which is to grow the sales of our Complementary Products. Our teams are committed to enhancing the value we can provide to our customers by leveraging the sales of our core products and customer relationships to satisfy a broader array of our customers' needs. In some cases, this means we are introducing new brands and types of materials, redesigning our stores to better highlight all of our offerings or in other cases, we are reallocating or investing in personnel and heightened capability to drive more focused sales. For example, our subsidiary, Tool Source Warehouse, or TSW, continues to expand its operation and product mix. After recently adding a third distribution center in Lenexa, Kansas, TSW is in the process of tripling its Reno, Nevada operation, allowing it to serve a much larger customer base with a more complete product offering. As market conditions and our customer needs evolve, our commitment to service only grows stronger. And this expanded service offering is just one example of this commitment and the dedication of our team to enhance the value we provide to our customers. Our third pillar, to expand our platform through accretive acquisitions and greenfield opportunities, serves to grow both the sales of our core products and those that are complementary to our core. In addition to realizing the benefits of the steady maturation of our investments in greenfield locations, including our recent Ceilings-Focused location in New York City. We expanded our presence on Vancouver Island in Canada during the quarter through the acquisition of Jawl Lumber Corporation. Jawl operates under the Home Lumber and Building Supplies brand name and is a leading supplier of lumber, engineered wood, doors, framing packages and siding as well as other key complementary building materials that are offered by our Canadian operations. We are very pleased to bring Home Lumber into the GMS family of brands. And we intend to continue to focus on expanding our footprint, scale and product offerings with an active M&A pipeline. Our fourth strategic priority relates to our efforts to drive improved productivity and profitability by leveraging our scale and employing technology and best practices to deliver a best-in-class customer experience while further driving profit improvement. We are continually arming our teams with the tools they need to become better operators such as providing our forklift drivers with automated tablets to increase the efficiency of our picking and loading activities, launching software solutions to provide better analysis of customer and supplier performance, utilizing centralized dispatch where most beneficial, adding job tracking capabilities, deploying internal scorecards to drive maximum productivity and asset utilization and broadly bringing a much more scaled, data-driven approach to our inventory management, purchasing and pricing efforts. At the corporate level, we are simplifying our subsidiary structure to improve back-office efficiencies, standardize our product and customer data, streamline our processes and drive complexity costs out of the business while maintaining our focused localized presence and customer connection in regional markets. Initiatives like these have been integral to our consistently delivering solid low double-digit adjusted EBITDA margins in recent years. Our team did a fantastic job this quarter in an environment that is notably more challenging than a year ago. We delivered solid results and we are confident that we are well positioned for the quarters ahead. With that I will turn the call over to Scott.
Scott Deakin: Thank you, J.T., and good morning, everyone. Starting with slide five, I'll now provide some further perspective on our first quarter results. Net sales increased 3.7% year-over-year to $1.4 billion for the quarter. Organically, sales were up 1%. Adjusting for one additional selling day year-over-year, net sales increased 2.1% with daily organic sales declining slightly by less than 1%. From a US end market perspective, total residential sales dollars grew 3.5% year-over-year on a per day basis with continued strength in multi-family and resilience in Wallboard pricing. US commercial sales dollars declined slightly by 0.6% per day as increased volumes of steel and commercial-grade Wallboard were more than offset primarily by significant steel price deflation. Now looking at these first quarter results for each of our product segments. Wallboard sales of $571.4 million increased 9.6% in total and 7.9% on a per day basis, comprised of a 7.6% increase in price and mix with an increase in both multi-family and commercial Wallboard volume, partially offset by the slowdown in the single-family residential market, which most heavily impacted this product segment. Organically, first quarter Wallboard sales on a per day basis grew 7.6% year-over-year, comprised of an 8.2% increase in price and mix and a slight decrease in volume. Multi-family again led the way in terms of US Wallboard volume with 22.1% growth for the quarter compared to a year ago, while US commercial Wallboard volumes were up for the fifth consecutive quarter in a row at 5.9% year-over-year. Single-family Wallboard volume in the US was down 12.5% as compared to the very strong results we recorded a year ago. Despite significant year-over-year declines in single-family construction this calendar year, Wallboard pricing has remained resilient, reflecting the realities facing manufacturers, which are rising input and production costs, a lack of excess capacity in the market and increasingly pressured access to synthetic gypsum. For the first quarter, the average realized Wallboard price was $475 per 1,000 square feet, down slightly from our fiscal fourth quarter but up 7.6% as compared with a year ago. While we are seeing sequential strength in single-family volumes, given pressure demand as compared with a year ago, we expect modest sequential declines in Wallboard price and mix through at least our fiscal third quarter. First quarter Ceilings sales of $175.2 million increased 4.7% year-over-year or 3.1% on a per day basis, comprised of a 1.5% benefit from price and mix and a 1.6% increase in volumes. Organic sales in Ceilings grew 2% or 0.4% on a per day basis with a 1.5% benefit from price and mix, partially offset by a 1.1% decrease in volume. Tile and grid volumes lagged relative strength in architectural specialties, given the continued softness in the large office sector. First quarter Steel Framing sales of $236.8 million were down 13.9% versus the prior year quarter or 15.2% on a per day basis as deflationary pricing drove a 29% decline in price and mix, while volumes increased 13.8%. Organically, Steel Framing sales were down 16.3% on a per day basis with a 29.2% decline in price and mix, partially offset by a 12.9% increase in volume. As J.T. mentioned, in addition to strength in multi-family, many of our regional markets are experiencing favorable commercial activity. With active projects underway, we're scheduled to start by the end of this calendar year. This said, supply chain constraints in the prior year led to short-term dislocation of demand and increases in channel inventory, which unfavorably affected the prior year period. Prices for Steel Framing products were down as expected with specific declines of 25.5% year-over-year and 1.7% on a sequential basis. The underlying commodity pricing for cold-rolled and galvanized steel has declined over the last several months with signs pointing towards continued near-term pricing pressure. As there is typically at least a four to six month lag from the commodity market to what we see from our value-add supply partners, we are currently expecting steel prices to remain challenged with low single-digit sequential declines expected for each of the next several quarters. Complementary Products sales of $426.2 million for the quarter grew 7.7% year-over-year or 6% on a same-day basis as we benefited from positive contributions from acquisitions. Organically, sales of Complementary Products declined less than 1% on a per day basis. As a reminder, included in this product segment are our Canadian lumber sales, which comprised 9.9% of the category in the quarter compared with 11.2% a year ago when commodity lumber prices were higher. Excluding lumber, net sales for Complementary Products in the first quarter grew 9.4% or 7.7% on a per day basis. I'll also note that within Complementary Products, because of their high potential for growth and accretive margins, we've indicated that we are especially focused on the growth of our tools and fasteners, EIFS and Stucco and insulation product lines. In aggregate, despite some regional softness versus our expectations for the quarter, these lines realized higher sales growth in the broader complementary category with first quarter combined sales growth of 13.5% or 11.7% on a same-day basis. Now turning to slide six, which highlights our profitability for the quarter. Gross profit of $450.6 million increased 3.6% as compared with the prior year period principally due to incremental profit from recent acquisitions, our continued successful pass-through of product inflation, growth in commercial and multi-family volumes and increased sales of higher-margin Complementary Products. Gross margin of 32% was unchanged from a year ago, consistent with both our expectation for the quarter and our long-term trend. Selling, general and administrative expenses increased during the quarter to $286.8 million compared to the prior year's $267.7 million primarily driven by recently acquired businesses but also the result of inflationary wages and higher maintenance costs. Demand pullback from single-family construction, which resulted in a mix shift into multi-family and commercial end market volumes, which require a higher cost to serve also impacted increased SG&A for the quarter. SG&A as a percentage of net sales was 20.3% for the quarter, an increase of 60 basis points from 9.7% (sic) [19.7%] a year ago. Adjusted SG&A expense as a percentage of net sales was 19.8%, up 60 basis points from 19.2% in the prior year quarter as the net impact of product price changes, most notably steel price deflation, drove 50 basis points of deleverage during the quarter. Another 10 basis points of deleverage was attributable to recent acquisitions. Therefore, on an organic basis and excluding the net impact of price changes, we were flat year-over-year as a percentage of sales even with the volume mix shift into higher cost to serve end markets and net inflationary increases in operating costs. Our rightsizing of the business earlier in the year coupled with efficiencies gained from ongoing productivity initiatives enabled us to achieve these favorable SG&A results in this challenging environment. All-in, including notably higher interest expenses and a onetime charge related to the May 2023 refinancing of our term loan, partially offset by the realization of a onetime tax planning benefit, net income decreased 3% to $86.8 million for the quarter or $2.09 per diluted share compared to net income of $89.5 million or $2.07 per diluted share a year ago. Growth in earnings per share for the quarter outpaced net income as a result of the continued execution of our share repurchase program. During the quarter, we repurchased approximately 469,000 shares for $30.5 million at an average cost of $65.07 per share. Adjusted EBITDA of $173.3 million, which was consistent with our previously communicated expectation, decreased $1.7 million as compared with a year ago. Given the single-family demand pressure, Steel Framing price declines and the inflationary and activity-based operating cost increases in the quarter, adjusted EBITDA margin decreased to 12.3% compared to last year's first quarter level of 12.9%. Now shifting to our balance sheet, which is highlighted on slide seven. At quarter-end, we had cash on hand of $81.4 million and $816.2 million of available liquidity under our revolving credit facility. We have no near-term debt maturities. And our net adjusted EBITDA debt leverage at the end of the quarter was 1.5 times improved from 1.8 times a year ago. Cash provided by operating activities for the first quarter, which seasonally represents our highest use of cash, was $6.6 million compared to cash used by operating activities of $4.4 million in the prior year period. Free cash flow used for the quarter was $6.9 million, improved from a use of $15.3 million a year ago. Capital expenditures of $13.5 million for the quarter compared to $10.9 million a year ago. We continue to expect that for the full year fiscal 2024, capital expenditures will be approximately $50 million with free cash flow generation of approximately 50% to 60% of adjusted EBITDA. To wrap up, excuse me, to wrap up, our attractive capital structure and well-positioned balance sheet with no near-term maturities provide the foundation and support for the execution of our strategic priorities. We expect to continue to balance investing in our strategic initiatives, including M&A, with paying down debt or otherwise strengthening the balance sheet and opportunistically leveraging favorable market conditions for share repurchases. Echoing J.T.'s opening sentiments, thanks to our team for again successfully navigating ever-changing market dynamics and delivering these results and continuing to perform for our customers, our supply partners and our shareholders. I'll now turn the call over to J.T. for a review of our outlook starting on slide eight.
John Turner: Thank you, Scott. We are operating in a complex and dynamic market right now with strong fundamental demand for new housing strengthened further by a shortage of existing homes for sale despite rising mortgage rates and other supply side factors continuing to exacerbate affordability issues. Multi-family is still very active although we've started to anniversary the historic highs in this market. And while office is still muted, other sectors within commercial are providing growth. With that as our backdrop, let me move to our expectations for the second quarter. First, looking at Wallboard. Multi-family growth is expected to temper somewhat, but still lead the way with high single-digit volume gains expected for our fiscal second quarter. Commercial Wallboard volumes are expected to be up low single-digits, while single-family Wallboard volumes are expected to be down low double-digits versus the strong prior year, given our assumption that today's high mortgage rates will continue to keep some prospective buyers on the sidelines for the time being. In total, we expect Wallboard revenue to be down low single-digits for the quarter as compared with the prior year period. In Ceilings, given our successful business development in this product category despite continued pressure on the office space, our backlog and project outlook indicate that second quarter Ceilings volumes should be up low single-digits year-over-year with price and mix offsetting down low single-digits. And for Steel Framing, prices are expected to again decline low to mid-single digits sequentially for the second quarter or down about 25% year-over-year. Conversely, as compared to the transitory weakness of the prior year, volumes for Steel Framing are expected to be roughly flat sequentially or up high single-digits as compared with the second quarter of fiscal 2023. Finally, in Complementary Products, we expect to see mid-single-digit sales growth over the prior year quarter. All-in, we expect net sales for our fiscal second quarter to be down low single-digits. Gross margin is expected to continue to be in line with our long-term trend at or around 32% also consistent with our fiscal first quarter. All considered, we expect adjusted EBITDA of approximately $160 million to $165 million. GMS remains focused on executing our strategy, utilizing our scale, our breadth of product offerings and our commitment to deliver outstanding service to bring value to our customers and other stakeholders. We remain confident as we look to the days ahead. Thank you for joining us today. Operator, we are ready to open the line for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from Kurt Yinger from D.A. Davidson. Your line is now live.
Kurt Yinger: Great. Thanks and good morning, everyone.
John Turner: Hi, Kurt.
Kurt Yinger: I just wanted to start off on the Wallboard side. I mean as you kind of look at your fifth straight quarter of commercial volume growth there, how do you think that compares to kind of the broader industry? And any thoughts you have around your performance within that market specifically?
John Turner: Well, I can give you, we use the Gypsum Association data to calculate market share and we picked up some share over the course of the last 12 months as well as a little additional share in this last calendar second quarter. The Gypsum Association works on a calendar year basis. So we know we're picking up some share. Whether it's specifically in commercial or not, I think we probably reflect about what's happening in that market, quite frankly. I mean, we're very good there, but we have a couple of competitors who are also very good there. So I wouldn't claim to specifically be gaining any share there. But again I think that if we are, it's a little bit.
Kurt Yinger: Got it. Okay. That's helpful. And then second, just on platform expansion. I guess could you talk about your appetite or current approach with greenfields at this point? And second, you guys have added a number of facilities in the past two years. How should we think about the ramp-up curve for those and kind of the margin impact as they presumably start to get more productive and more efficient over time?
John Turner: Well, I mean, usually, our ramp-up period is about 18 months or so to -- a year to 18 months to kind of a breakeven and then depending on the geography of the greenfield and the size of the market, right, the impact can be very different. Historically, with our greenfields, we're not entering into large markets. The Ceilings, with the exception of what we did in New York City, obviously, trying to get into something there where we have been out of that market for a long period of time. I think you'll continue to see greenfields contribute as they have in the past because we'll put another six to eight in, which will be a drag, and then you'll have eight to 10 maturing. So I don't see any difference in the way they're contributing going forward because we will continue to grow the business. We still have opportunity there for I think we've got 10 to 12 in our pipeline identified now, but probably six to eight we'll execute this fiscal year.
Scott Deakin: On the acquisition front, the first part of your question, we're busy. The pipeline is full. Our corporate development team is actively engaged on a number of fronts, valuations. We're a little higher a couple of quarters ago, but I think they're tempering and becoming a little bit more sort of stabilized versus our expectations. So we're equally busy on the acquisition front.
Kurt Yinger: Got it. Okay. Well, I appreciate the color guys and good luck here and fiscal Q2
John Turner: All right. Thank you, Kurt.
Operator: Thank you. Next question is coming from Noah Merkousko from Stephens. Your line is now live.
Noah Merkousko: Good morning and thanks for taking my question.
John Turner: Sure. Hi, Noah.
Noah Merkousko: So first I wanted to touch on the Wallboard pricing continues to remain resilient here. And I appreciate the commentary, which I think is basically reiterated what you said last quarter. You expect some modest decline sequentially through fiscal 3Q, but there is at least one of the major Wallboard producers that have announced a price increase for early October. It doesn't sound like that's factored into guidance, but just wanted to get your thoughts on that. Is it still too early to really be expecting any traction on a price increase? And what would it take, do you think, for the market to accept that if commercial and multi-family remain healthy and we continue to see this uptrend in single family, is there an opportunity there, do you think?
John Turner: Yes. The degree of single-family recovery will drive what drove the last couple of years of price increases. And that is that demand will get up to a level where, particularly in Q2 and Q3 of each calendar year, you're kind of up against capacity, producer's capacity capability, right? That was the primary driver more than anything else of the pricing that we saw over the course of the last several years. There is real inflation we talked about it. There's real inflation in our business, real inflation in the manufacturers' businesses, too. So we certainly don't begrudge the manufacturers attempting to recover that inflation. Whether or not that actually happens in October feels early to me. But I guess we'll see in that respect. But also remember, it takes us 30 days to 60 days to 90 days depending on the product or the end market, excuse me, to get that pricing in. And so our guide over the course of the next couple of quarters really takes that into account anyway that we probably wouldn't see any actual inflationary pricing even if that price increase sticks until kind of late in the calendar year.
Noah Merkousko: Got it. That makes sense. And then just on a quick follow-up. The guidance for fiscal 2Q, Ceilings pricing down low single-digits. Historically, I've thought of that segment of having generally strong pricing. We saw that in the quarter. So just what's driving the decline in pricing now?
Scott Deakin: I think principally a mix factor reflected in that guide.
Noah Merkousko: Got it. Makes sense. All right. I appreciate the time and good luck going forward.
John Turner: Absolutely. Thanks, Noah.
Carey Phelps: Thanks, Noah.
Operator: Thank you. Next question is coming from Steven Ramsey from Thompson Research Group. Your line is now live.
Steven Ramsey: Hi. Good morning. I thought the commentary around the distribution expansion behind the tool business was interesting. How do you -- how much CapEx is that on the first question? And kind of a quick follow-up, how do you expect this to help sales kind of the timing and improved operating effectiveness as those come online and then roll into, how that improves customer interactions and demand?
Scott Deakin: CapEx is minimal. I appreciate the question. CapEx is minimal. These are leased facilities. There are some leasehold improvements for the office portion fit out for some of the equipment that goes into it, but it's relatively minimal and reflected in the numbers that we gave you, both in terms of the actuals and any additional spending that's in the forecast.
John Turner: As far as growth in sales and supporting sales, it gives us basically the full product offering of that business across the balance of the United States. We've been kind of limited on the West Coast. It's also a little bit of the continued integration of AMES into our business, where we'll be integrating an AMES distribution center into that location as well. So kind of a cost play as well as the ability to grow that entire product mix into the West Coast.
Steven Ramsey: Okay. Okay. Helpful. And then to make sure I understand on the guidance, thinking sequentially with sales seems to be implied flattish, gross margin flattish and then EBITDA down $10 or so million sequentially. Can you maybe talk to the SG&A deleverage factors there that seem to be in play? Or if there's any other factors to consider thinking sequentially with the guidance?
John Turner: Mostly pricing. It's mostly steel and we're rolling into a period of time where Wallboard prices towards the end of the quarter are going to be difficult against the prior year compare even with just a very small degree of decline on a sequential basis. With the bulk of the downturn is, I don't know what we're talking $50 million, $60 million, $70 million in steel difference in sales.
Steven Ramsey: Okay. Perfect. Thank you.
Operator: Thank you. Next question is coming from Jeffrey Stevenson from Loop Capital Markets. Your line is now live.
Jeffrey Stevenson: Hi. Thanks for taking my questions today. In Ceilings, you reported a volume pickup in June last earnings call, and then you're guiding to positive volume growth in the second quarter. Just wondered if you could expand on the primary drivers of the modest improvement in Ceilings demand. And if you've seen anything that gives you confidence that the R&R side could improve as we move through fiscal '24.
John Turner: It's basically all of the categories other than office seem to be okay. So education, good summer selling season throughout the schools, which again, that's part of the mix. Earlier question asked about what was going on with pricing, really, you're seeing a more commodity mix of ceiling tiles because it's education that's driving a lot of that and general commercial driving that small stores, et cetera, storefronts, strip malls, that. There's a little bit of offset to that with the hospital activity. That is a little bit richer mix. We talked earlier about 10 hospitals right now plus out there between remodels and new. So that's driving Ceilings business for sure.
Scott Deakin: A little bit of offset on our architectural specialties as well.
John Turner: Yes. And so that continues mix shift in architectural specialties continues into -- like in the transportation sector, in particular, airports and transit stations, et cetera. The big drag, of course, is office, still not much happening in office. A lot of discussion about it. Of course, I feel like we've had a lot of discussion about it four years now. But a lot of discussion about what's going to go on with all this turnover and ownership in office and what can be done to utilize that space. But when that starts, inevitably, there'll be some of that for sure. And we'll benefit from that as well the Ceilings producers.
Jeffrey Stevenson: That's helpful. And then I just wanted to hear if you could talk more about the recent improvement in single-family housing starts and what you've been hearing from your builder customers. I appreciate your comments about single-family demand will kind of continue to improve as we move through the back half of the calendar year. But when do you think the recent uptick in starts will meaningful begin to show up and Wallboard demand moving forward?
John Turner: Well, it's about a six-month lag from start to completion, right? So in a normal supply chain environment, and I feel like we're -- most products are in kind of normalized environment right now. I mean, you're still hearing some issues with some electrical switches and things like that causing some constraint, a little bit of land development problems for the builders. But the big builders are going to keep building and continue to attempt to take share from the smaller builders. Going through this, they have strong balance sheets and the ability to do that. All of the data we've seen so far, obviously, was pre 7% plus mortgage rates. So that's the one factor that could temper some of this going forward and why I would say we're still a little bit cautious in our expectations over the course of the next three to six months for starts. We'd like to see the permits and starts continue on the trend that we've seen for the last three months. But again, we won't know until that actually happens. If we get six good months in a row, then we'll get six full months of some growth for sure.
Scott Deakin: And the high rates as a countervailing part is keeping the availability of existing home sales for sale in the market depressed as well, which is helping the builders and the starts at the same time.
John Turner: It's just another environment that's creating more of a lack of availability of housing when every professional forecaster in this space would say we need somewhere between 1.5 million and 4 million houses, 5 million houses. And eventually, that's going to have to be built. And you can't read a single day. You cannot read a single day's worth of financial news where somebody is not reporting on different state and local governments waking up and realizing that it's a supply problem, not a demand problem when it comes to housing affordability. And hopefully, that leads to deregulation in the space. And certainly, you're seeing a lot of momentum around that and then the permitting situation as well. We're opening up different swaths of real estate for both single-family and multi-family housing. Just had another great example of that up in the Toronto GTA where in Canada, they're recognizing with their big goal around 5 million increase in population through immigration between now and the end of the year but there simply won't be any housing if they don't open things up. And they've recently just changed and opened up a tremendous amount of what was previously green space in their city planning for residential development. And I think you're going to see that happen at a pace that's going to accelerate over the course of the next couple of years in the US. Now it doesn't help us in the next six months but post that period of time, I don't see any reason why housing isn't going to be very strong.
Jeffrey Stevenson: Great. Thank you.
Operator: Thank you. Next question is coming from Mike Dahl from RBC Capital Markets. Your line is now live.
Chris Kalata: It's actually Chris Kalata on for Mike. Thanks for taking our seconds. Just a follow-up on the residential growth trajectory, the decline is moderating and then multi-family tailwinds moderating. Can you just remind us of the mix dynamics we should be thinking about in terms -- on both top line and margin and to the extent you provide any quantification there?
John Turner: Well, 50% of the volume historically in the market would come from single family and 15% from multi-family, 35% from commercial. So any uptick in single family is worth three times the downturn in multi-family from a volume perspective.
Scott Deakin: Particularly on Wallboard.
John Turner: In Wallboard. I'm only talking about Wallboard, not the whole business, just Wallboard. Then there is a mix dynamic change there, but that impacts the price primarily. It's not so much the actual gross margins and gross margin dollars, but there is a little bit of an impact there. But we still think and prefer a really robust single-family market to anything else when it comes to Wallboard volume.
Chris Kalata: Got it. Helpful. And then, I guess, maybe could you just walk us through the latest -- your latest thoughts on commercial, given some of the regional bank stress and commercial real estate stress that we're hearing about? What are your conversations with customers like today? And what does that suggest in terms of the more medium-term outlook there?
John Turner: We're still bidding good activity on the bid side. As I walked through in the script, a lot of, I'll call it, anecdotal evidence around the numbers of projects and types of projects that are in the pipeline. I do think that it's inevitable that it has to soften somewhat with both high rates and the banking risk. The notable exception to any strength at all remains office, down -- activity down quite a bit. All that being said, the Architectural Billings Index came out of 50 again, it's flat with actually the big driver on the downside being multi-family, which is not a surprise considering how active that market has been. And then the put-in-place numbers from the Census Bureau, I think they're out tomorrow for July. I think they're out tomorrow. So we don't have them yet for July only through June. But again, all of the parts of the business outside of office that we participate in had been growing nicely from a put-in-place construction perspective. So if that trend continues, we should be able to continue to do this mid to low single digits growth in commercial.
Chris Kalata: Got it. Appreciate all the color
Operator: Thank you. We reached the end of our question-and-answer session. And ladies and gentlemen, that does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.
John Turner: Thanks, Kevin.
Operator: Thank you, sir. Thank you, everyone. Take care.
John Turner: Thanks. Bye-bye.